Operator: Ladies and gentlemen, welcome to the conference call by MA's management team regarding its H1 2025 results. It will be structured in 2 parts. First, a presentation by emeis management team represented by Mr. Laurent Guillot, Group CEO; and Mr. Jean-Marc Boursier, Group CFO. [Operator Instructions] I will now hand over to the management team. Gentlemen, please go ahead.
Laurent Guillot: Laurent Guillot speaking. Good morning to all of you, and I'm with Jean-Marc Boursier, our CFO. Thank you for attending this conference related to the presentation of our H1 earnings figures at the end of June '25. I hope it may sound clear to you along this presentation that we are particularly happy to deliver this set of figures, which provide not only the evidence of the turnaround underway in our operating performance. This is what we showed already at the end of July, but also mark a significant milestone since our disposal target have been once again largely exceeded. All of this news brought confidence embedding our financial structure improvement for the coming quarters and allowing us to provide midterm outlook for the years ahead. A few months ago, you may remember why we were publishing our full year earnings figures, we told you that the resumption of our sales growth and the rise in occupancy rate seen started to support our operating margins recovery from the beginning of the second half '24. We were particularly happy to show you the evidence that this operational recovery is well confirmed in the first half of '25. Occupancy rate have improved further everywhere and quite significantly, now nearing 88% on mature perimeter. With the price effect captured again this first half, the organic growth of our revenues posted a solid performance at 6.2%. This positive momentum on top line is mechanically feeding our operating margins, thanks to the good grip we had on operating expenses, leading to 29.5% growth in EBITDA at 79% on into like-for-like basis. For the first time for a while, at least a decade, our cash flow has turned positive. We are also happy to tell you that particularly active this past month with numerous operations, of which the announcement of the new real estate partnership [indiscernible] along with the creation of a new [indiscernible]. With relative cash from this operation of EUR 761 million our disposal target close to EUR 2.1 billion of disposals since mid-'22. As a remember, we communicated end of July EUR 1.15 or EUR 1.5 billion target before year-end is already achieved and then largely exceeded. This will mechanically improve materially our financial structure, lowering net debt significantly and improving our leverage ratio sharply. Jean-Marc will come back on these elements later. Last but not least, we not only confirm the outlook for '25, but we are able to confirm the supporting trends expected for '25. We are able today to confirm that this supportive trend expected for '25 will continue with a midterm outlook to 2028 on revenues and EBITDA on like-for-like basis we expect CAGR between '24 and [indiscernible] between 12% and 16% EBITDA. The positive momentum is set to continue ahead. So let's dig a little bit in the detail. We've already shown you the numbers in terms of occupancy rate improvement. Year-to-date, the upside capture is a bit stronger on nursing homes with occupancy rate in average a bit less than 200 basis points in 12 months. This positive momentum is not fading out, and we expect this to continue in Q3. This is obviously the result of multiple new processes we put in place, focus on quality and service policy who policy mention different patients and then [indiscernible] disease and special issue and the if you look at the performance we had in France, Jean-Marc will come back on that. This is significantly different compared to [indiscernible]. We are not only showing a continuing supporting momentum on revenue, but we are also posting a positive momentum on operating on operating performance , along with our recurring facts after reaching a trough in H1 '24 EBITDA has now entered its way toward normal with almost 80% growth in 1 year at constant perimeter. My point is to share with you today our confidence that this momentum will continue to feed our growth later this year and for the years ahead. We do expect positive contribution to our performance from the following elements. First, occupancy rate should be driven by favorable momentum, providing capacity -- providing the capacity to capture further positive price effect. Segmentation are reviewed regularly so to tell there are emeis offers to residents need and purchasing [indiscernible]. Operating expenses are increasingly monitored with a relative good ensuring a good allocation of workforce and cost. New processes and new tools should enhance our efficiency and better adapt our business to the reforms that we have seen the past years in different countries. We have also defined for each underperforming facility or underperforming unit dedicated action to restore performance in line with expectations. We share the best practices and [indiscernible] every day more efficient. It's fair to say that the set of figures is a good milestone on the road to an embedded recovery and we confirm our confidence for '25 and beyond. We did go up on added software EBITDA expected to go online collects between 15% and 18%. The trajectory for revenues and between 25% is how we expect going to do the momentum ahead of 25%. So we see increasing confidence for the future we have decided to go to get today midterm outlook for '25 and '28. The average annual growth of revenue on a like-for-like basis is now expected to be between 4% and 5% between '24 and '28. And the group average annual growth rate for EBITDA on a like-for-like basis is expected to be between 12% and 16% per year between '24 and '28. Before handing over to Jean-Marc, I would like also to share with you some of the major achievements we have secured so far in Q3. Since the end of July, we have secured EUR 1 billion in new disposal transaction. This is mainly due to the real estate partnership we announced last week with the creation of a new real estate company. The transaction will result in EUR 761 million in cash for the emeis group when it closes expected towards the end of the year. You may have understood that this innovative deal is expected to strongly enhance our financial structure, but it is also structured so to keep the likely benefit from the upside we can reasonably expect from the real estate cycle and from the recovery phase of our sector globally and [indiscernible] in particular. On top of this transaction we have secured a little bit more than EUR 200 million of other real estate deal since the end of Q3. At the same time, our team has been able to increase access to liquidity by more than EUR 200 million, notably through 2 factoring sectors, which is also enhancing our financial profile. These 2 transaction overall are major milestones that significantly strengthen the solidity of our financial structure, and this gave us even greater confidence in our operational performance, which is set to continue improving for the coming years. So now I hand over to Jean-Marc for a little bit more details on the numbers.
Jean-Marc Boursier: Thank you, Laurent, and thank you all for attending this call this morning. We understand that the sound is not super good, so I will try to speak out loud and clear as possible. We are very pleased to present the publication today that we believe is particularly strong. 6 main points stand out in this publication. First, a very positive growth momentum in our revenue. Second, a significant improvement in operating margin. EBITDA is up, for instance, 72% and EBIT has improved by EUR 116 million in 1 year. Three, our net income is still negative, but the trend is improving significantly. Losses have been reduced by EUR 120 million in this semester, feeding our confidence for the coming quarters. Fourth, our free cash flow generation has improved sharply. The group, as said by Laurent is now free cash flow positive, an improvement by more than EUR 200 million in 1 year. Five, our net debt, excluding IFRS 16 and 5 is stable compared to the end of 2024, but is already down EUR 233 million when including IFRS 5. I remind you that this is a related to assets held for sale, so considering transaction for which negotiation are at very advanced stage. This decrease in net debt will continue even further by year-end when the closing of certain transactions such as the creation of our real estate company will occur. And sixth and final, the leverage ratio is also improving considerably even before considering the secured transaction that we -- let's start with hotels. I will be relatively quick on that slide since elements were already published for H1 at the end of July. Sales posted a substantial organic growth of 6.2%, driven by a combination of 3 factors, all of which having a positive impact. First, a price effect of plus 3.4%, in line with Q1; second, an occupancy rate effect of plus 1.8% and finally, for 0.9%, the effect of the ramp-up of recently opened facilities. This favorable growth trend can mostly be observed on nursing homes, plus 8.6%, while clinics have been more muted at only plus 1.8%. The group average occupancy rate rose by 1.7 points year-on-year to 87% versus 85.3% at the end of June 2024, continuing the gradual recovery in aggregate that began almost 18 months ago. This recovery was mainly driven by nursing homes, where the average occupancy rate rose by 1.9 points year-on-year to 86.5% versus 85.3% at the end of 2024 and even 82.1% at the end of 2023. As you can see on this graph in Central and Southern Europe, the levels achieved are now above or close to 92% pre-COVID levels, especially if we remove those computations, the ramp-up sites whose occupancy rates are obviously lower than those of mature sites for the time being. Note that excluding ramp-up facility, occupancy rate for the whole group would have been today at 88.2%. Although still below our ambition, we are happy to see this supportive momentum to be continuing. A few words about our 2 largest markets, Germany on one hand and French nursing homes. In France, it is interesting to note that the improvement in occupancy rate for nursing homes is gradually confirmed quarter after quarter since more marked each quarter versus the previous one. The gap in occupancy versus the previous year is growing every single quarter and is now 2 points while it was only 0.5 points above a year ago. This acceleration clearly illustrates, and you can see on the top right hand of the chart that the recovery in France is well underway since 2024 and is gaining momentum. This provides confidence for the coming quarters. In Germany, the recovery is following a steady and constant pace. Here again, the momentum doesn't seem to fade out, thus confidence in this market as well. In terms of operating margin, the improvement in performance is considerable. EBITDA, which we break down on this slide is up 18.4% and 19.5% on a like-for-like basis. So if we exclude the effect of the disposal of our activities in Czech Republic. By isolating pure operational performance, so excluding the effect of disposal, change in perimeter, change in real estate capital gains and exchange rates, for instance, we see that the performance is increasing by EUR 94 million on the first half of this year compared to last year. And this is a particularly strong trend, which is the result of solid organic growth on one hand and a limited increase in operating expenses, as you can see, only plus 3.1% like-for-like, whereas turnover is up 6.2%. As you can see on the next slide, if we look at the cost as a percentage of sales, you can see that staff costs have been reduced by 1 point, reflecting the measures that we progressively implemented during the past 12 months to optimize the allocation of our human resources. But at the same time, we also benefited from the initial effect of our cost rationalization measures in H1, which have led to a reduction in the intensity of all the costs as well. As a result, these measures are enabling us to maximize the conversion of revenue growth into operational profitability. Our EBITDA margin, although still below our target has increased consequently from 12.1% in H1 last year to 13.8% in H1 this year. And if we add on to that the steady performance of our rental expenses, we can rationalize the improvement in our EBITDA margin, which rose by more than 2 points to 5.4% EBITDA margin. Move the same here on the next slide, this chart illustrates that operating margin have started their way toward normalization. In million euro this note that the positive upside in sales plus EUR 136 million in H1 was largely transferred into EBITDAR by EUR 62 million and EBITDAR by EUR 66 million as an evidence that the operational leverage to the upside is strong and should continue to be strong again early. It's interesting to note that when looking at the EBITDAR by geography, the 2 main contributors to this growth in France and Northern Europe, given that Germany posted the most significant growth in Northern Europe. It should also be noted that the growth momentum in Central Europe is particularly masked by the sale of our activity in Czech Republic at the end of March. Indeed, EBITDAR in France grew by 36% and by 21% in Northern Europe. And there is still a significant room for further growth ahead since you can see on the right-hand side of the chart that EBITDAR margin in those markets are still largely lower than what we have as a reasonable target for the coming years. Although still below our ambition in terms of percentage of sales, the margin are everywhere moving in the right direction. If I continue our analysis of the P&L below EBITDA margin, the momentum remains very positive for us on almost every single line of the P&L. First, because external rental expenses excluding IFRS 16 have declined. This is due to acquisition finalized in 2024, notably in Italy and France, which brought real estate assets operated by the group into the group scope while previously owned by third parties. And as you can see, EBITDA excluding IFRS 16 rose by 72% and even 79% on a like-for-like basis. Second, when looking at EBIT, EBIT improved significantly as well and is now positive. It rose by EUR 16 million to EUR 102 million in H1 2025. And this is interesting to note that underlying depreciation and provision recorded a positive amount in the first half of the year. This is a sign that our provision for liability and charges have been historically prudently valued and that the risk environment is indeed improving for EBIT. Below EBIT, I would like to raise your attention on 2 things. First, financial expenses have continued to benefit from the effect of the latest capital increase carried out in February 2024 and financial expenses are down EUR 16 million versus H1 last year. Second [indiscernible] due to noncash adjustments such as certain residual depreciation on a few items possibly intended for sale. Let's move now on the cash flow statement. At the end of June compared to the first half of 2024, EBITDAR has increased by EUR 66 million to EUR 158 million. Net current operating cash flow has increased by EUR 74 million to EUR 62 million and free cash flow has improved by more than EUR 200 million to EUR 26 million. The lower you go on this slide, the strongest increase you will find. And this is, if I may, the result of the particular attention we pay to every single line of the cash flow statements. As a result, free cash flow is strongly increasing now into positive territories as a result of the combined effect of the group improved operational performance, the stability of maintenance CapEx and working capital, the successful execution of our divestment program and the gradual reduction in development CapEx, and I will come back to it in a few moments. The improvement of our cash flow generation is not a one-off. As you can see on this slide, this is part of a gradual trend that has been ongoing semester after semester since last year, and that should continue ahead. The graph on this page speaks for itself, illustrating the gradual result of our effort and the momentum that has characterized this first semester again. It is particularly interesting to note how capital intensity has been driven in recent years. First, it should be noted that maintenance CapEx and IT CapEx have remained quite stable overall. We share the conviction with Laurent that it is essential to maintain our assets in a condition that is consistent with the quality of care that we owe to our customers. At the same time, we have deeply reviewed the group's development strategy. Development CapEx have been reduced by nearly 80% in 2 years, reflecting our willingness to reduce project payback and therefore, increase development selectivity. I would also like to remind you that we have developed innovative and CapEx partnership, for instance, the forward sales scheme that allow us to maintain the operational benefits of certain projects while not having to bear those real estate CapEx on our balance sheet. A few words now about our disposal strategy. As Laurent told you earlier, we have been particularly active since the beginning of the third quarter, securing nearly EUR 1 billion in new disposals. The main contribution of this achievement is the creation of new real estate vehicle open to third-party investors for a total consideration of EUR 71 million. This day brings together assets with an operating value of EUR 1.2 billion at the end of 2024 for an average yield of around 6%. So the investment received from these investors represent approximately 62% of the total value. The 68 assets concerned located in France, Germany and Spain, as you can see on the map. Half of them are nursing homes and half are. The partnership, which is planned for at least 5 years, grants investors a minimum annual remuneration of 6%. In addition, depending on the value created by the [indiscernible], the value creation will be shared between them and the emeis Group. Our partners are targeting a total IRR of 12%, above which 90% of the value created will be retained by emeis. The governance of this [indiscernible] will allow the group to retain exclusive control of it, which means that it will be fully consolidated in our consolidated financial statements. This innovative preferred equity structure is particularly relevant for emeis, first, because it will strengthen our financial structure with an impact of approximately EUR 700 million reduction on the group net debt upon closing of the transaction. a significant decrease in our leverage ratio, which should fall to almost 13x pro forma versus 15x published today and I remind you, 1.5x at the end of December 2024. Second, because this structure is a strategic move for the group. This [indiscernible] is designed to provide real estate solution in the future. emeis will therefore be able to size the opportunity offered by the sharp increase in care needs over the next decade. And in the medium to long term, this [indiscernible] should attract new investors and should become the real estate operator that will meet real estate needs. And third, because this [indiscernible] is also an opportunistic move considering health care real estate cycle likely to -- the deal is structured to benefit from the expected upside for the coming years on real estate valuation and value creation. Because we strongly share the view that our midterm perspective are promising as our midterm guidance and the likelihood of seeing property valuation again is significant, we believe that the potential revaluation uplift on these assets is particular significant over the coming years. This deal structure will provide part of this upside contrary to more classical [indiscernible] operations. As a result, the wording of disposals completed or secured to date has reached EUR 2.1 billion since mid of 2022 as explained by Laurent. This is therefore largely above our initial target of EUR 1.5 billion with nearly EUR 1 billion in new transactions secured in Q3 and nearly EUR 1.6 billion in disposal that should be collected in the coming months, the majority of which by or around the end of the year. As a result of everything we said earlier today, the financial structure will continue to strengthen significantly in the coming months. While net debt, excluding IFRS 5 and IFRS 16 remain broadly stable between the end of December and the end of June. A reduction of nearly EUR 300 million resulting from the application of IFRS 5 provides an initial indication of the strengthening of our balance sheet. We cannot be much more precise than that, but this is linked to very well advanced negotiation ongoing today. In addition, the creation of the real estate partnership should reduce the pro forma net debt to around EUR 3.8 billion, representing a very significant reduction, and this is already underway expected around year-end. At the same time, the leverage ratio is improving very significantly also from 2x in H1 '24 to 19.5x at the end of December last year, then 15.5x at the end of June 2025, and this is mainly due to the operational recovery of our activity, resulting in a strong EBITDA growth. If we take into consideration the new real estate partnership, this ratio would be lower even further now approaching 13x. Thank you very much for your attention. And I hand over to Laurent to continue this presentation.
Laurent Guillot: Well, thank you, Jean-Marc. I think I will try to speak a little bit louder apparent well the first discussion. What are the lessons from this presentation? First, the positive trend on top line continues with a strong organic growth, 6.2% overall and 8.7% on nursing home, supported by positive momentum on occupancy rate and positive pricing effect. So second is a strong momentum on operating margin, plus 19.5% for EBITDA and EUR 79 billion mostly driven in absolute terms by France and Northern Europe with strong performance, especially in our 2 biggest countries. As a consequence of this and along with other components, our free cash flow turned positive this semester for the very first time for a long time. Third, our EUR 1.5 billion disposal target before year-end '25 is now largely exceeded with EUR 2.1 billion now achieved or secured. This was reached partly thanks to a major real estate partnership recently signed, bringing EUR 761 million to the benefit of operation or also other transactions. Four, this will accelerate further the strengthening of our financial structure with a pro forma net debt of around EUR 3.8 billion versus EUR 4.7 billion 1 year ago and a leverage ratio nearing now 13x versus 23 last year in the same period. And fifth, the positive trend seen in H1 '25 is continuing. I reiterate our guidance for '25 expecting EBITDA to grow between 15% and 18% at constant perimeter and [indiscernible] to deliver midterm outlook. We are now expecting revenues to continue growing ahead between 4% and 5% again at constant perimeter from '24 to '28. And EBITDA dynamics is also set to go here on the same path as we go. We've got [indiscernible] with a CAGR between 12% and 16% at constant perimeter over the same period in between '24 and '28. So thank you for your attention. And now we'll be available to answer your questions you may have.
Operator: [Operator Instructions]
Laurent Guillot: First question, what is the plan in terms of distributing the proceeds from the '25 [indiscernible] disposal, EUR 1 million in Q3 that I was mentioning. Well, the purpose is really definitely to strengthen the financial position of the company. So it goes to reducing the debt and [indiscernible] no plan for proceeds and neither no plan to accelerate being CapEx stand or acquisition [indiscernible] of balance sheet. Another question. Can you elaborate on what is happening in Ireland [indiscernible] change management or would change your season procedure. People do not know we had the TV report a few months ago. Well, this was in, I would say, in frame of a political debate on the legitimacy of the private sector for the [indiscernible] sector. And also, we say very close to 20 years after a big event on the sector that happened in Ireland also and I would say what we did after this report is clearly we obviously both at the same time, the two facilities involved and the '26 [indiscernible] that we have in Ireland show that all our procedures, all our processes are well in place in this [indiscernible] over a period of time to stop the admissions in some activities and most of the cases because the process and the procedures have been very high [indiscernible] cooperation with a local authority, which is HIQA, we decided to reopen this [indiscernible]. So we are very confident and the team in place in Ireland is doing a great job that is improving [indiscernible] with small changes but at the same time, the job that we are doing in Ireland a good job. We never celebrate in our facilities any deviation from our standards. And when we find this, we obviously hire, then the people go there or the people that are involved. But I can assure you that we have always focused on of what we are doing in all the countries and Ireland is not different from the other countries. We strongly believe that this TV report was a not completely fair to the situation of our [indiscernible] in Ireland that's part of our business. But as always, we have [indiscernible] measures to improve discussion with the operators. What are the potential tax costs associated with the transfer of release of assets in connection with the creation of the real estate company. Jean-Marc, you've given the numbers in the presentation [indiscernible].
Jean-Marc Boursier: Yes. As you have heard me say, so we are receiving EUR 61 million from the investments, but the net debt is only around EUR 7 million and the difference is relating to three components. The first one is real estate duty and property taxes. The second component is income tax because assets are valued at a higher value than the book value. So we generated some income tax in some countries. And third related to [indiscernible] related to these conditions are around EUR 6 million.
Laurent Guillot: [indiscernible] the back end loaded or rather linear, whether the underlying assumption on price of occupancy per year, what is the debt maturity level of reimbursement [indiscernible]. I take the first question, you take the [indiscernible]. We are still in a phase of the recovery is progressive. So you see that our guidance in terms of EBITDA improvement from '25 is 15% to 18%. And if you look at the guidance for the midterm, it's 12% to 16%. So it's more front-end loading because the recovery is faster at the beginning that had driven. And yet, while at the same time against that theory, we have towards 27%, 28%, we will have more pricing power because our facilities will be more, I'd say, occupancy where we've increased to reach almost normalized level. And this, at that time, we have more pricing power. So you see a little bit more coming from the cost at the beginning and a little bit more coming from the prices at the end with a positive impact throughout the period of occupancy rate improvement. And with regards to the second part of the question, what is the debt maturity and what are the amount of reimbursement for '25, '26 and '27. This hasn't changed and you will find all the details on Page 43 of this presentation. So we have recycled our debt maturity and reimbursement schedule as an appendix of this vision. Next question, where do you stand at debut financial covenant and what is the plan for 2027 [indiscernible]. We have one covenant, as you would already know, which is a minimum liquidity quarter after quarter of EUR 300 million, this hasn't changed. The net debt to EBITDA covenant that we had with some [indiscernible] have been renegotiated last year. So that was the existing at most. We are currently in negotiating with banks. The answer is yes for one single reason as you have noted in our press release for the real estate agent, there are two conditions precedent to the creation of this vehicle. The first one is an internal one. We need to obtain the approval by our unions, and we see [indiscernible] which we are doing in the proper way and second, we have to obtain also the approval by our creditors because some of these -- some of those assets have been pledged under the current credit agreements. So we need to obtain release of security that we are going to get some other assets in exchange, so we are currently negotiating the securities with our creditors to make sure that all of that can be finalized before [indiscernible] would be done in quick and efficient manner. I read the question with also a question for you so that we both can answer this one. Is there room for additional provisions also in H2 or in '26, could tell us a bit more nature of nonrecurring agents in the P&L of EUR 7 million to EUR 9 million, okay. So there are two questions in this question. The first one is related to provision tolerability and charges and net flows in our EBIT. As you have noticed, we have really some provision that was historical risk that we were facing in France, both as investment more precise than that, and we think that we will [indiscernible] could be potentially contemplate additional provision release [indiscernible] too early to say [indiscernible] we are well covered and why we are going to enjoy some provisions. With regards to nonrecurring expenses I told you this is a largely due to non-cash adjustments, little bit of costs related to the new transaction I was explaining with the vast majority is related to a noncash adjustment. [indiscernible] for some depreciation related to certain assets that we are intending to say that seem to too significant. Could you elaborate on Q3 outlook regarding the occupancy rate. [indiscernible] 3 weeks or 4 weeks from now, we have notification on our Q3 numbers, so we will we have more sales. But clearly, on the occupancy rate, the trend that we have seen till now is continuing with a real improvement and rate of increase compared to what we experienced in H1 is not very different. We continue to have a strong [indiscernible] in our main country, in Germany [indiscernible] so good trend and we continue to see a recovery in France in environment that involve an improvement [indiscernible] also in Q3 compared to investor. As you know, summer is always where we have a better win rate than the average of the year. So you should expect in Q3 compared to Q2, an improvement. What will be the level of maintenance CapEx in '25, '28 and development CapEx in the '26, '28. As you know -- a few things. Probably maintenance CapEx and IT CapEx that Jean-Marc showed you before, are at a low point, and we increase progressively this maintenance CapEx, modernize and continue to push for price increases of our services. It is pretty bold to be sure that we maintain a good level of maintenance and that we continue to enable service with more IT investment. So this kind of CapEx will increase a little bit more to a reasonable amount of money, and we'll continue to be looking to be a very, very control of our cost, so very slight and whether it's an increase on these networks and IT. On the other side, on development part, we have been very, very selective, most of the development now is happening through asset light projects where we have contracts with partners. And from that point of view, the vehicle, we just set up with our partners can be a way to do for further development with being at the same time free in this. So we continue to have some development CapEx. We continue to be very in control. You should not expect overall on the strong [indiscernible]. With your 4% to 5% revenue growth CapEx, how much [indiscernible] to improve occupancy rate pricing effect and also [indiscernible] if they are including in our target. You -- I mean, we do not communicate wholly on the shipment then but we can explain that maybe less and [indiscernible] then price effect, I gave some detail earlier, where you will have a little bit lower pricing effect at the beginning and an improvement in pricing effect on the significant path. And new openings, you have some remaining new openings obviously from the past and growth that are at the beginning of the period towards the end of the year, you have some impact bothering on new openings that have been done mostly asset free. Are you now done with these results; we will be open to [indiscernible] at a good price in order to continue to push ahead with [indiscernible]. This is exactly the point -- the question is mainly with what we are currently heading, I would say we have done with our project and with our commitment, so now, and as I was saying already in July also, we will be very opportunistic, should we have good prices, we would move on, at unattractive prices, we will keep with the asset now, very, very, very selective and very, very, very opportunistic should proposal come at a good price. How will the partnership be structured; has it been working rights or preferred shares [indiscernible]. Jean-Marc, do you want to take this one?
Jean-Marc Boursier: And then maybe disclose [indiscernible] event. But just keep in mind that majority of working right with the retail [indiscernible] and this is the a reason why we will have the full control of this [indiscernible] consolidated in our books we might share the [indiscernible] we'll be doing something that we need [indiscernible] majority of the working rights with the capital values.
Laurent Guillot: How should we model the growth in fiscal expenses [indiscernible] what would be the midterm categories. We don't probably provide guidance on this one, but clearly, given our cost structure, you look at them and you compare with our peers. The growth rate of [indiscernible] would be far below the CAGR of our top line is one of the reasons why we will have begun to move the EBITDA moving forward. This is particularly the case in France, where our staff ratio is still quite high and due to the -- I mean the decisions that we have taken at the beginning of the refoundation of the company to staff much better our facilities. Now we are entering a [indiscernible] we reduced this in ratio [indiscernible] especially in France than offshore. So we benefit from that also on the occupancy rate improvement. What consequences from the current political mess in France, security funding, pricing valuation, implementation of [indiscernible]. Well, I would not -- I don't know if this is a proper word, I would not use mess. We have huge [indiscernible] I have had 8 different Minister for [indiscernible], so you know it's not a particularly new situation that we are experiencing now. Generally, we would welcome any new initiatives and more resources to nursing home and health care system, especially from the private sector as we are more efficient, far more efficient in this sector, we'll wait to make savings, knowing the political environment in France, the forecast that we have given for the next few years is not improving any significant improvement of the regulatory environment for us in the next years. We are planning and we are working on self-help measures to deliver this performance, not on outside environment improvement. At the same time, we are working with our peers, private, public, NGOs to try to improve the regulation framework in France, but we don't count on it in the forecast given for the next quarters. Are you planning to pay the EUR 300 million physician payments [indiscernible]. Yes, onshore. No doubt about that. We planned [indiscernible] on the evolution of market share in the French sector. We will increase occupancy driven by the increase in market share [indiscernible] market share from. Yes, we are gaining market share. That is we start from a lower level compared others and at the same time, the company was in a turmoil in 2023. So from some respect, we are gaining back our share, and we are not playing out on prices on the overseas. We continue that this has been very significant decision from the beginning to decline prices, [indiscernible] for the long term, the best solution. So really, we are recovering our normal market share on occupancy rate. And we are not doing that on the extent of price [indiscernible] the answer is yes. As you have understood, there will be at least EUR 60 million about the [indiscernible]. Any further questions? Can you go back? Well, do you have any other points? Has that been very clear to you? Well, assume that there is no further point, so let me summarize very, very quickly. We continue to show a good business recovery, and we continue obviously to confirm our target for '25 but also, we've given new numbers of midterm outlook with a growth rate of 45% and EBITDA growth of 12% to 16%. At the same time, we have strongly improved our balance thanks to a significant transaction that will lead to a very significant deleveraging and again giving us a lot of trust and confidence for the future. So now we are all set to face the growth on this market because the needs in front of us both in terms of dependence and [indiscernible] surging very important in the next 5 years, and already we have a right balance sheet and we have the business recovery rate, so we are willing to tackle this growth period in front of us. Thanks, a lot. Thank you.